Operator: Thank you for standing by and welcome to the Extreme Networks Third Quarter Fiscal Year 2024 Financial Results. At this time all participants are in listen-only mode. After the speaker's presentation there will be a question-and-answer session. [Operator Instructions] As a reminder today's program is being recorded. And now I'd like to introduce your host for today's program Mr. Stan Kovler, Vice President of Corporate Strategy and Investor Relations. Please go ahead, sir.
Stan Kovler: Thank you, operator. Good morning and welcome to the Extreme Network's third quarter 2024 earnings conference call. I'm Stan Kovler, Vice President of Corporate Development and Investor Relations. With me today are Extreme's President and CEO Ed Meyercord and EVP and CFO Kevin Rhodes. We've just distributed a press release and filed an 8-K detailing Extreme Network's financial results for the quarter. For your convenience a copy of the press release which includes our GAAP and non-GAAP reconciliations is available in the investor relations section of our website at ExtremeNetwork.com along with our earnings presentation. Today's call and our discussion may include certain forward-looking statements based on our current expectations about Extreme's future business, financial and operational results, growth expectations and strategies. All financial disclosures on this call will be on a non-GAAP basis unless stated otherwise. We caution you not to put undue reliance on these forward-looking statements. If they involve risk and uncertainty, they can cause actual results to differ materially from those anticipated by these statements. These risks are described in our risk factors in the 10-K report for the period end of June 30, 2023 and subsequent 10-Q reports filed with the SEC. Any forward-looking statements made on this call reflect our analysis as of today and we have no plans or duty to update them except as required by law. Following our prepared remarks, we will take questions. Now I will turn the call over to Extreme's President and CEO Ed Meyercord.
Ed Meyercord: Thank you, Stan, and thank you all for joining us this morning. Our results were in-line to slightly better than our third quarter outlook. Highlights from Q3 include Net new logo bookings grew double digits globally with particular strength in the US market. Our SaaS ARR grew by 38% year-over-year as we continue to deliver on our value proposition of flexibility and simplicity with our one network, one cloud strategy. And we were successful in reducing channel inventory at the high end of our $40 million to $50 million range, bringing us closer to channel normalization. As expected, we're calling for meaningful sequential revenue growth heading into our fiscal fourth quarter, but note that industry-wide customer and channel digestion will continue to create a drag on normalized bookings and revenue. Customers and channel partners continue to work through purchases and orders and we expect demand normalization during the second half of calendar '24. The expected sequential growth and revenue bookings will help us return to solid profitability and cash flow generation during the fourth quarter. Our funnel of opportunities is up from the prior quarter. We anticipate that the upcoming stage of growth will be driven by an increasing number of deals that exceed a million dollars as we continue to move up market. Last week we hosted our annual Connect user conference in Fort Worth, Texas. It was oversubscribed and our biggest event yet with about 19% growth in customer attendees from a year ago. The event focused on the intersection of networking, security, and AI and we made several announcements relative to those topics. We demonstrated Extreme Cloud Universal ZTNA, the first network security offering to integrate network application and device security within a single solution. By combining Cloud NAC and ZTNA into a single easy-to-use SaaS offering, we help customers ensure unified observability, frictionless user experiences, and a consistent security policy for applications and devices. As the VPN market transitions to ZTNA, the proliferation of individual applications, each with their own policy and dashboard, is adding complexity and expense for enterprise customers. A vice president of one of our multi-billion-dollar channel partners joined us on the main stage at Connect and said the identity focused approach with a common policy engine is a game changer. This was further evidenced by the PAC breakout sessions at Connect where discussions on zero trust drew standing room only crowds. When added to our unique enterprise Fabric, this allows us to present a highly differentiated security value proposition to enterprise customers. We also increased the scale of our Fabric solution to extend Fabric over SD-WAN, broadening the reach from the data center to branch. Customers love our Fabric because it's simple to deploy, highly resilient, makes it easy to segment the network, which dramatically minimizes the blast radius and exposure of cyberattacks. We expect the broadening of our security offerings to drive significant traction for our business with growth opportunities across our top verticals such as higher education, healthcare, retail, manufacturing, transportation, logistics, etc. Our customers and partners also reacted very favorably to Extreme Labs. A dynamic ecosystem where creativity, collaboration, cutting-edge technology converge to fuel innovation of early stage technologies. We provided a tech preview of AI expert, a generative AI solution that delivers substantial optimizations and cost savings in the design, deployment, and management of enterprise networking and security. Finally, we announced that we are the first vendor to allow Wi-Fi 6E customers such as the San Francisco Giants, Cedar Fair, and BYU to unlock outdoor 6 gigahertz spectrum to experience faster speeds, increased range of coverage, and expanded capacity for outdoor connectivity. There was a lot of discussion at Connect about industry M&A and the disruption that it's causing. We feel that lots of questions about Cisco, diversifying away from network, and customers fatigued with a cost, complexity, and lack of flexibility that comes with doing business with them. As it relates to HPE's acquisition of Juniper, most questions focused on risk and how to protect their technology investments. Customers are worried and don't have a clear view of technology roadmaps or the potential negative impact the integration they have down the line. We feel confident Extreme's Pure Play focus on secure network and finding new ways to deliver better outcomes for our customers will remain a competitive advantage. We were named as a leader in the Gartner MQ for the sixth consecutive time. Once again, Cisco moved down in vision and execution and customers are taking notice. Turning to new wins, we had a strong quarter in higher education. We won Washington University in St. Louis, one of the country's top universities, which selected Extreme to modernize its networking infrastructure, displacing Cisco. Extreme's Fabric solutions will help the university create a simple, scalable, and secure network across the campus. And with Extreme Cloud IQ, WashU will be able to manage its entire network, including third-party applications, third-party devices. In EMEA, spending remained challenging across many of our largest verticals and revenue is impacted by channel digestion. However, we continued our success in winning international sports venues, such as Borussia Dortmund, which is one of the largest football clubs in Germany. They're deploying Wi-Fi 6E Fabric Extreme Analytics across the stadium to create next-gen experiences like seat and concessions, ARVR, and biometrics. In Asia Pacific, booking trends have been stable for a number of quarters and we're seeing success, particularly in the hospitality sector, where we've added multiple new logos across Asia. In the quarter, we also display Cisco at several major customers, including Korean Airlines, a 30-year customer. We're deploying across 250 of their sites worldwide, including their global headquarters in Seoul. Our new go-to-market initiatives are helping us grow and gain share as well. We grew our MSP partner base to '23 during the quarter, with many more in queue. The vast majority of MSP revenue is net new logos. Our MSP footprint is expanding as partners appreciate the simplicity of one cloud, the flexibility of our unified hardware, and our unique consumption billing model. We make it simple for these service providers to deliver seamless, high-quality networking experiences. As we contemplate our recovery, we're encouraged by our funnel and believe that customers' demand for our solutions will continue to improve and we expect a resumption of growth to follow into fiscal '25. And with that, I'd like to turn the call over to our CFO, Kevin Rhodes, to walk us through the results and guidance. Kevin, are you there?
Kevin Rhodes: Sorry about that. I was on mute. So, thanks, Ed. Sorry about that. And let me get into our results. So, our results were in-line and slightly ahead of our outlook. As we expected entering the quarter, we worked through a significant amount of channel and customer digestion. The overall channel inventory reduction is at the high end of our $40 million to $50 million estimates. We believe this will position us for a return to normalized growth, which will be better aligned to customer demand trends. We also took proactive action at the end of the quarter to right-size our costs, which will enable us to generate profitability again, while continuing to support our strategic and product initiatives. Let me get into some of the numbers. Revenue of $211 million declined sequentially during the quarter, primarily due to the market dynamics impacting our industry and was slightly above our forecast. Product revenue of $106 million reflected the previously mentioned channel digestion, along with elongated sales cycles, which are also impacting the networking industry. These trends are relatively consistent across both switching and wireless products. The pricing discount rates on product orders was largely intact with prior quarters, and our product backlog was once again at a normalized level and within our expected range. Looking back over the last several quarters, our subscription revenue has been a great success story for us. Since the acquisition of Aerohive in 2019, we've gone from annualized revenue of $40 million to $162 million per year. As our business has shifted to cloud management, it's important to take both product trends and our recurring subscription and support revenue into account, as this is what customers are buying from Extreme. We expect the strong growth of SaaS ARR to continue. Overall, bookings and most notably product bookings were well above our revenue in the quarter. On a vertical basis, our education business grew double digits year-over-year, led by higher [indiscernible], and our K through 12 business was in-line with our expectations. On a year-over-year basis, health care was up double digits, and we saw sequential growth in retail, service provider, and sports and entertainment, all of which grew double digits. Even in this challenging environment, Extreme is still gaining share by attracting and winning new customers. SaaS ARR and recurring revenue was once again a bright spot in the quarter, up 38% year-over-year, driven by the strength of our renewals and our activations of previously shipped products. Subscription deferred revenue was up 29% year-over-year to $258 million. Total subscription and support revenue was $105 million, up 14% year-over-year. This growth was largely driven by the strength of cloud subscription revenue. Based on our current outlook, we expect recurring revenue to account for approximately 35% of full year fiscal 2024 revenue. The growth of cloud subscriptions and support drove the total deferred revenue to $558 million, up 20% year-over-year. Gross margin was 57.6%, down 490 basis points in the prior quarter and 150 basis points compared to a year ago quarter. Our fixed overhead costs were impacted by reduced product revenue and we incurred about an additional $7.5 million of excess raw material costs in the quarter. This occurred as we transitioned one of our primary original design manufacturers out of China and into Vietnam. Without this cost, we would have achieved 61.2% margins in the quarter. We currently expect gross margins to recover back above 60% in the fourth quarter. Our third quarter operating expenses were $147 million, up 3% from the year ago quarter. During the quarter, we did take action to optimize our expense structure to the level of revenue we expect to achieve, including getting back to operating profitability in the fourth quarter and into fiscal year 2025. On a run rate basis, we took out approximately $35 to $40 million of annualized expenses, which will help us drive operating leverage as revenue recovers. The operating margin in the third quarter was a loss of 12.2%, down from a profit margin of 14.8% last quarter and from a profit margin of 15.6% in the year ago quarter. All in, third quarter non-gap loss per share was $0.19 and in-line with our outlook. This compares to earnings per share of $0.24 in the second quarter and earnings per share of $0.29 in the year ago quarter. We ended the quarter with $151 million of cash and net debt of $42 million. The $74 million usage of free cash flow in the quarter was due to the lower revenue and use of working capital for purchases of raw materials and finished goods inventory based on prior year of purchase commitments. We expect a recovery in cash flow as revenue recovers in the fourth quarter and component purchases become more balanced with normalized sell-through rates. Now turning to guidance, heading into the fourth quarter, we are expecting improved sequential revenue growth based on our funnel and the seasonality of our business, led by our education vertical. We believe the recovery in revenue and earnings will also drive a recovery in cash flow. However, we are taking a cautious tone to guidance at this time. For the fourth quarter, we expect guidance as follows, revenue to be in a range of $250 million to $260 million. Gross margin to be in a range of 61.6% to 63.6%. Operating margin to be in a range of 9% to 11.5% and earnings per share to be in a range of $0.11 to $0.15. That's based on fully diluted share count to be expected around 131 million shares. For the full year 2024, we expect as follows. Revenue to be in a range of $1 billion $110.5 million to $1 billion $120.5 billion. Non-GAAP gross margin to be in a range of 60.9% to 61.4%. Operating margin to be in a range of 9.3% to 9.9%. And earnings per share to be in a range of $0.51 to $0.55. The fully diluted share count is expected to be around 131 to 132 million shares. And with that, I'll now turn it over to the operator to begin the Q&A session.
Operator: Certainly. [Operator Instructions] Our first question comes from the line of Alex Henderson from Needham. Your question, please.
Alex Henderson: Hey, guys. So, I was hoping you could talk a little bit about what you think the normalized, revenue base for the company is, what the company's longer-term kind of a sustainable growth rate is? And, once you come out of this correction, where you think you can get your margins to, you talked about 64% to 66% gross margins in the past. Is that still attainable? And, can you give us just some guidelines on what a normalized base should look like?
Ed Meyercord: Hey, Alex, this is Ed. Let me, let me jump in and then Kevin, I'll let you come in behind me as far as the model is concerned. Alex, Yes, we're still seeing sluggishness, macro sluggishness in Europe. And then you'll note that we had a lower volume of large deals this past quarter at 28, which is, a low for us. And we're seeing elongated sales cycles in some of our larger projects. So, when this is normalized and when we look at a level where we feel is achievable in this market with the resources that we have on our team, you're looking at moving up closer to $300 million a quarter in revenue from where we are today. So, we see a lot of room for growth. The other comment that I'll make is that market conditions, we believe, are going to help us over the next 12 months, given what's going on with the competitive landscape. Right now, there's a lot of chatter and there's a lot of noise. In the partner and channel community, as well as with end users around concerns about technology decisions that they need to make. And if you're a partner that you want to bank your business on as a result, we think we're going to start to see more opportunities coming to Extreme is in a way a safe haven for technology decisions that are future forward. So, this was we heard this loud and clear. It will take time for new partners to establish funnel and establish business with Extreme and ramp. And the same thing is true with partners. But we will have very specific motions to aggressively go after this against both sets of our larger competitors and think it creates a unique market opportunity. Kevin, do you want to do you want to follow up with more specifics in terms of margins and the modelling questions?
Kevin Rhodes: Yes, I mean, I think I think you're accurate in terms of what we're seeing as opportunities for growth coming out of what's the new normal look like right coming out of the call it, the cycle that we're in right now and absorption, etc. I would think that what we the new normal should be, above $300 million in revenue is what we are shooting for. And obviously growth above and beyond that, the market opportunity is there for us. We are taking share. And you could see with Korean Airlines and others that are 30-year customers of Cisco that are moving and coming over to us as we continue to build on our software story here. Alex, I think that's going to bode well for us, especially as we add in more security, more AI. All of that, I think, is going to be. And we heard that loud and clear at our Connect conference that people were excited about our vision for what the product enhancements are going to be in the future. And more and more of these customers or prospects are saying they want to lean in our way. So, we've got to get through this cycle with the market. But in general, in the future, like as things come back, we think we're very well positioned.
Alex Henderson: So, the question was asked on the cross margin, 64% 66% still attainable. When do you think you'll come out of the cycle? Do you think it's all the way through the year calendar year or do you think it can happen before that?
Kevin Rhodes: Yes. So, 64% to 66%, when you look at our guidance for Q4, right, we're at 61.6% to 63.6%. So, we're really touching at the high end of our guidance that 64% range that you just talked about. So, we describe that as a longer kind of three-year vision for where we're going to get the 64% to 66%. But, yes, we are absolutely still envisioning that to be our target range for most margins.
Ed Meyercord: Yes, Alex, as far as the timing of the recovery is concerned, I think it's going to depend a lot on the spending environment in EMEA. And then just the timing and our ability to close on the pipeline of opportunities that we already have. I would say we have visibility. We have a very healthy funnel of opportunities. The question on that funnel is the timing. And then we have a I would say somewhat gun-shy team in Europe because we've been we've been burned, several quarters by, expecting that that spending cycle to come back. And we just haven't seen it come back as quickly as we thought. So, it's difficult for us to make that call. You know, we suspect that, we'll start to see signs of this this quarter and into next quarter, I would say with a lot more confidence in December, if that's helpful.
Operator: Thank you. And our next question comes from the line of Eric Martinuzzi from Lake Street Capital Markets. Your question, please.
Eric Martinuzzi: Yes, I wanted to take a look at the operating expense expectation for Q4. I know you took actions kind of mid-quarter here in Q3. I think I've got the number right. OpEx in Q3 is $147 million. What's the expectation for Q4?
Kevin Rhodes: Yes, so right now we're expecting OpEx in Q4. I'm just looking for it here. It's $133 million is what we're expecting it to be, Eric.
Eric Martinuzzi: Okay. And I'm assuming the bulk of the restructuring effort there was around the sales and marketing. Is that correct?
Kevin Rhodes: You know, we looked at all spend, to be honest with you, Eric. And obviously, mostly we looked at program spend, first and foremost, because, we value all of our Extreme employees. You still have to make adjustments across the board. But we really, I would say we looked at it from an org design perspective and optimize the company's structure that way, as opposed to just going and taking out certain functions. We looked at how do we reimagine our go-to-market, but also our focus areas and across the board, other areas as well. So, I would say we optimized across the entire company to get there.
Ed Meyercord: And I think it's fair to say, Kevin, in our guide, Eric, we knew that we were going to be taking expenses out of the business. So, in our guide, that was part of the original guide.
Eric Martinuzzi: Yes. Yes. I understand. The net new logo growth, so double digits in Q3, that kind of was a pleasant surprise for me, given the overall macro environment still being challenging. What do you think was a key driver behind the new logo growth?
Ed Meyercord: Yes, Eric, we were encouraged because what we're seeing, and I mentioned it in my comments, that we're moving up market. And we see a return to health as we get back to this kind of, call it, $35 million to $40 million plus deals in a quarter. This quarter was unusually low. However, we had a handful of really nice wins in the quarter that, including, eight-digit and eight-digit win and some large seven-digit wins that created, really nice new logo wins. And that's what sort of inflated the new logo amounts in terms of the dollar volume amount of new logo business. We have a lot of that in our funnel as well, which is what we're excited about. That said, when we're calling Q4, we don't want to rely on large binary deals that could move either way. We feel like we're in a stronger competitive position with some of the logos we talked about. At Connect, we had Kroger up on stage saying that, their experience with Extreme, far exceeded expectations. And there's a lot of new business opportunities, obviously, with the world's largest grocer. Korean Air, major airlines, after 30 years with Cisco, kind of fed up and ready for a change. They made the trip and flew all the way from Seoul to be there. big endorsement. That means a lot in those markets. Wash U, prestigious university making the move. Really intrigued by Fabric and our security story. And so, these are just some of the examples of large wins, important logos, important reference accounts that we're winning. And we won them in the quarter. We don't necessarily have the magnitude of those deals in Q4 to call, which is why when you look at the Q3 to Q4, you might be wondering, OK, why am I not seeing more growth? We want to be careful about calling the larger deals. But the fact of the matter is, we are more competitive and we are winning them. And success begets success in this marketplace. So that's what's giving us confidence. And, with a few more of these things that should really strengthen our position, our confidence for calling a stronger '25.
Operator: Thank you. One moment for our next question. And our next question comes to the line of David Vogt from UBS. Your question, please.
Brian Hull: Hey, this is Brian in for David, thank you for taking my question. So, on balance sheet inventory, that increased quarter-over-quarter to $185 million from $153 million last quarter. Can you discuss how inventory should get worked down given the somewhat soft revenue guide relative to 9 days ago? And then I will follow up. Thank you.
Kevin Rhodes: Sure, Brian. I'll take that one Ed. So we did we did have a use of cash in the quarter for, building of inventory. you have to realize that, first of all, all of these inventory purchases that are coming in now were more than a year ago when those orders were put in place. And actually, what we're seeing in the market right now is this slowdown is, obviously exacerbating, if you will, the inventory built. There's a positive on that, which is we bought all this inventory. It's all good inventory that we have on our balance sheet. We work down the inventory, the distribution side of things. We talked about and we have our inventory that we've now paid for. So that's going to be a cash generation opportunity for us in the future. I would say over the next year, all that inventory is good inventory and should work itself into the market over time. We assess our inventory balances every quarter. As an example, you saw this quarter we moved one of our ODMs out of China and into Vietnam. The raw inventory that we had there for the raw materials, we ended up taking that out. And that's just because of the movement of the line. And we were reestablishing that line in Vietnam as we moved out of China. These were materials that we were using for the China market. And so it just didn't make sense because we weren't replacing that line. So, we evaluated every quarter. But right now, yes, we had a build in the inventory, but that's going to generate cash flow.
Brian Hull: Got it. That's helpful. And then as a follow up, can you share with us what would be a normal inventory level when product revenue slash demand normalizes? Is there a good rule of thumb? Can we think about it as like a percentage of quarterly product revenue?
Kevin Rhodes: Yes, I mean, so we were running, I would say, more like $90 million of inventory in the past. So we're probably double the size that we would like to be at, as a percentage of revenue, 90 into roughly, a billion, $900 million of product revenue would give you about 10 percent of the total annual product revenue is to give you a guidance range. From our perspective, that will work itself down over the next year. And as I said, I would also say in Q4, we expect inventory levels to come down. That's another thing that we're looking at right now.
Operator: Thank you. One moment for our next question. And our next question comes from the line of David Kang from B. Riley, your question, please.
David Kang: Thank you. Good morning. First question is on seasonality for fiscal first quarter '25. I know that's typically seasonally weak, but any difference this time?
Ed Meyercord: Yes, David, I think, given where we are in Q4 and given how we're looking to build from Q3, I don't think we're at a point where we can say that normal seasonality applies just because of the unusual nature of demand. And the market environment that we're in today. So whereas normally I think what you're hitting on is the fact that there's this dip in September and then, we're up in December, a dip in March and then up in June. I don't think that the traditional seasonality adjustments will apply.
David Kang: So you're implying that it could be up or even at or at least flat maybe for September from June to September?
Ed Meyercord: Yes, I mean, given where we are today, Kevin mentioned that. Well, I mentioned that we have some large deals that are somewhat binary. And I will say, Kevin mentioned before talking about the guidance that we want to we want to be more cautious and have a more cautious tone. In Q3, we hit a number. We can argue the bar wasn't that high, but, we're on track for hitting a number. And that's how we want to run the business and how we want to manage expectations where we're going to meet or exceed our guidance. And, we've set the table, in such a way that way for Q4. And I think it's too early to call. I think right now Kevin will get upset with me if I start calling Q1. But what I would say is I don't think that, that we're not in a point to say we've returned to normalcy and normal seasonality.
David Kang: Got it. And my follow up question was on the bookings. You said bookable was way over 1. But just wondering if you can comment on how they compare, like maybe sequentially or maybe year-over-year?
Kevin Rhodes: On the booking side?
David Kang: Yes. Product bookings.
Kevin Rhodes: Yes, we didn't describe, how it was. I would say it's still a challenged, environment for bookings. I would say our overall bookings product and overall bookings was similar to what we had last quarter. Slightly down from where it was last quarter, but similar from that. So, I would say that that's good because it gives you some level of stability in what the bookings are going to be quarter-to-quarter. That being said, we're really looking for us to have, as Ed said, Europe come back in other areas of strength to come back in the second half of next year for us to really start to see significant growth.
David Kang: And my last question is, regarding Europe, I mean, what particular verticals are weak? It sounded like education was pretty good. any particular verticals that's still weak in Europe?
Ed Meyercord: Yes, it's mainly the government business. we look at our category of SLED, which in Europe basically is including state and country governments and local governments in education. And we've seen a pause in spending there. And I think this is where we have a lot of business. That 40% mix was a mix for the entire company. that will come back. We are confident that it's going to come back. But I think more now than ever before, we're seeing them sweating assets and taking more time to move forward with planned network upgrades. And a lot of these are existing customers. And this is where we, especially in the German market that we call DAC, which has been very slow for us. When that comes back and we believe it will come back, it's going to bring a lot of momentum to our sales recovery.
Kevin Rhodes: And I would note that we are looking at quarter-over-quarter Q4 versus Q3, an increase in our bookings expectations at this point, given the revenue growth.
David Kang: Got it. Thank you.
Operator: Thank you. One moment for our next question. And our next question comes from the line of Timothy Horan from Oppenheimer. Your question, please.
Timothy Horan: Thanks. Just following up on the government side. What percentage of that do you think is in office space versus places like railroad stations and other public venues? Only because, I've been in a bunch of government buildings lately and like no one's in the office. I mean, do they really need to upgrade these Wi-Fi networks anytime soon if people aren't coming in all that much?
Ed Meyercord: Yes, Tim, I'm not sure we're able to we're going to be able to pinpoint it. And we have we have we have a lot of different government agencies, everything from, in Germany, the Department of IT, for example. We have many defense ministries in different European countries. And so, it's very distributed. The other comment that I'll make is that we also have very distributed channel and our channel partners have longstanding and very strong relationships with all these customers. And so, it is very much of a cyclical business. And when they when they when they make the decision to refresh and then when they release the funds, they go through with it. We're not hearing anything that says, oh, that what we know is that the cycles have been delayed, but we have not heard anything to the effect of we're just not going to do it. And we think at some point that there will be a return to normalcy, particularly in the government verticals.
Timothy Horan: And maybe just related to this, I mean, what is the average upgrade cycle historically? And, I know you're saying it's kind of extended out like, how much can they extend it out if they really want to? And I guess related to this, what impact is 6E and 7 having on those basically life cycles?
Ed Meyercord: Yes, well, I think normally and in wireless, we would say wireless 3 to five years switching five to 7 years would be the normal life cycles, Tim, that we think about. Sometimes there may be an acceleration or a breakthrough. Wi-Fi 6E was important because it adds 6 gigahertz spectrum and it's kind of a game changer in terms of what it does in extending the range of Wi-Fi, lower latency, etc. So, Wi-Fi 7 will carry that as well. And then it also depends on devices that are coming into the network and being able to support the bandwidth. in some cases, you'll see customers, usually customers will fall into that range. if you're getting to five years on Wi-Fi gear, you're starting to fall behind and it becomes more and more difficult to support the edge devices that are coming into your environment. And so and especially when we think about the stadium environments, etc., that are early adopters and moving quickly into 6E. So, Yes, I think it's fair to go with those ranges. there are rare examples of people that are still running switches that are 10 years old. But it's not really prudent to do that because usually those devices are end of life and a support. And if there's a networking issue, it's hard to recover if you have the older gear.
Timothy Horan: Great. Thanks a lot. And just lastly, are you seeing any change in churn at all in your customer base?
Ed Meyercord: No, I think our customer base remains very solid. Most of our business is with our existing customers. And we see this in terms of subscription renewals. We see it in terms of service rules and in terms of competitive wins out in the marketplace in terms of projects. I would chalk up the current phenomenon more to delays, elongated sales cycles and spending delays more than competitive. Our story in the market today is resonating now more than ever before, particularly with the complexity, lack of flexibility and then the expense of total cost of ownership of dealing with the largest competitor. And there's frustration there. There's also that frustration of the channel. For example, in Germany, we've heard that they've discontinued some of their gold partners who are now looking for a new home, in which case Extreme is the best alternative today. And so our competitive position, given the differentiation of our technology, given our vision and the integration of security with networking and then the modern networking tools that we're bringing to bear. Not just with our purpose-built machine learning, AI tools for the network, but also new generative AI capabilities that we just rolled out. So I think people are excited about the vision and Extreme is the only pure play networking company. So as people are contemplating upgrading to the most modern and future forward networking infrastructure, we also have the capability through our cloud to manage our competitors' equipment. We're the only people that can do that. And we have a very unique value proposition with Fabric. So, all of these things coming together, our sellers and our partners can position Extreme in a way that's stronger today than ever before. There's disruption in the marketplace. So as the market comes back, we are very confident in our position.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Christian Schwab from Craig-Hallum Capital. Your question, please.
Christian Schwab: Great. Thanks, guys. So, I guess my first question is regarding the excess inventory, I understand the good news of potentially generating cash that normalizes back to your goal of $90 million. But, given the state of the market and, is there any risk that we should assume that you may be more aggressive with pricing strategies to move that inventory a little bit faster?
Kevin Rhodes: Hey, Christian. Yes, I'll cover that one. I mean, I would say a couple of things. One, I said in my prepared remarks that so far we are holding price as a company, which is good through Q3. We are also hearing and seeing in market that some of our competitors with excess inventory themselves are starting to discount more heavily. And so we have to evaluate that on an ongoing basis as to, how we are doing versus they. We're typically 10% to 15% cheaper than Cisco in the first place. So, if they do discount more, they need to discount a lot more in order to be at our pricing. So that tends to help us being slightly lower than what they are already. But that being said, we evaluate on a quarter-to-quarter basis, the key here is going to be like, how much is Wi-Fi 7 adopted, 6E? We still have some Wi-Fi 6 in place, but we do believe that we can move that inventory over time. And that's what we evaluate on a quarter-to-quarter basis.
Christian Schwab: How much Wi-Fi 6 inventory do you have? Is that a material amount? Is that, $20 million worth or is it materially less than that?
Kevin Rhodes: No, I think it's that or less. It's not, I would say it's not a huge amount of the 185 that we have.
Christian Schwab: Ok, perfect. And then the new, I guess, to Mr. Henderson's question, I guess the new aspirational near-term revenue target is $1.2 billion kind of run rate, $300 million a quarter. Did I do that right? So, '25, we're still moving through cost of spending, elongated sales cycle, Cisco pricing competitiveness, blah, blah, blah, blah, blah. Channel trying to figure out which products they want to sell. So should we should kind of assume fiscal year '26, is, our 1.2 billion plus gold depending on market conditions. Is that fair?
Kevin Rhodes: On fiscal '26, I think that's big. Yes. I mean, obviously there's a lot of ifs in terms of what is going to happen from a marketplace perspective and when will it come back is the big question, right? The channel digestion activity in that cycle and does that end in this calendar year? And then that generates a bit more positive tailwind for the entire industry coming into January of 2026 and into our fiscal year. I personally think that we're still a couple quarters at least, if not a couple, maybe a few quarters through the end of the year here in order to get back to normal. And then once we get back to normal, we should start to see us getting into the $300 million range as a company at that point. Obviously, at that point, we'll start to get some normalized seasonality from Q1, Q3 being our lower quarters and Q2, Q4 being our higher quarters. And so you'll have a slight contraction and expansion in those quarters once we get back to the new normal. But we think that's going to be a few quarters out.
Christian Schwab: Great. And then my last question is, should we assume that the $135 million plus or minus OpEx run rate is the appropriate run rate? I forget exactly how Edward did it, but to support and drive a recovery to $300 million and $1.2 billion in revenue, is that the right OpEx number we should be assuming that when we do get there, you'll still be running that plus or minus?
Kevin Rhodes: Yes, I mean, I think that what we're looking at in Q4, right, it's just a pocket in time. And there are other quarters that have, for instance, the other events in them that will make that OpEx kind of ebb and flow. We will have, for instance, merit increases coming in at some point in the future and some other expenses that come in in the future. But for now, I would say that's the expected run rate for the current quarter.
Operator: Thank you. This does conclude the question-and-answer session of today's program. I'd like to hand the program back to Ed Meyercord for any further remarks.
Ed Meyercord: Ok, thank you. And we appreciate all the questions and the time and interest in Extreme for everybody participating in the call. I also want to shout out to our, we have a lot of employees joining in here, customers and partners for all of the work and especially the engagement last week and Connect. We are going through a challenging period here. We are, in terms of the rebound, I would say we're excited about rebounding and I would say the return to normalcy in the industry and our position and what we're going to be able to do. So thank you all. Thank you for, thanks for participating and look forward to seeing you on the road.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.